Operator: Welcome to MasTec's First Quarter 2011 Earnings Conference Call, initially broadcast on May 5, 2011. Let me remind participants that today's call is being recorded. At this time, I would like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Lewis: Thanks, Laura. Good morning, everyone, and welcome to MasTec's First Quarter Earnings Conference Call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications we may make certain statements that are forward-looking such as statements regarding MasTec’s future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize, or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In addition, we may make certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release from yesterday or on the Investors page of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and announces by Jose followed by a financial review from Bob. These discussions will be followed by a Q&A period, and we expect the call to last for about 60 minutes. Once again, we had a great quarter so we have a lot of good things to talk about today. So I'll now turn the call over to Jose so we can get started. Jose?
Jose Mas: Thank you, Marc. Good morning, and welcome to MasTec's 2011 First Quarter Call. Today, I will be reviewing our first quarter results, as well as providing my outlook for the markets we serve. First, some first quarter highlights. Revenue for the quarter was $618 million, a 37% increase over the prior year's quarter. It's important to note that all of this growth was organic. EBITDA was $58 million, a 69% increase over the prior year's quarter. Earnings per share was $0.26 versus $0.10 in last year's first quarter, a 160% increase. Gross margins increased to 14 1/2%, a 90 basis point improvement over the prior year's quarter. And cash flow from operations increased 45% to $50 million. We had a very strong first quarter and an excellent start to the year. We performed better than expected, with broad-based revenue growth and margin improvement. We experienced strong double-digit growth in our Install to the Home, Wireless, Legacy Transmission and Pipeline business. More importantly, we continue to perform at a high level despite a challenging environment. We believe our diversified business model is the key differentiator for MasTec and one that has helped drive our success. Today, we serve numerous markets and industries that we feel have very strong long term fundamentals, with significant opportunities for expansion and growth. We strongly believe that our exposure to oil and natural gas pipeline, high-voltage electrical transmission, wireless infrastructure construction and maintenance and industrial and renewable construction will continue to be excellent sources of growth and opportunity for MasTec for years to come. Now I would like to cover some industry specifics. Our communications revenues grew 54% over last year's first quarter to $346 million. This increase was driven by double-digit growth in all of our communications markets, including Wireless, Wireline and Install to the Home. In our Install to the Home business, revenue from DIRECTV was up 21% for the quarter. This was better than we expected. On our last call, I stated that we expected this customer to grow at a single-digit rate for 2011. While still early, we now believe growth will be a little stronger than expected in this business this year. Our Wireline business experienced growth for the second consecutive quarter. Growth in this market is being driven by broadband stimulus funded projects. We have now been awarded close to $100 million of broadband stimulus projects and the pipeline of future project remains very strong. We continue to believe this will be a source of growth for the next few years. Shifting to Wireless, the first quarter was very strong, with revenues more than doubling that of last year's first quarter. We got off to a very quick start, helped by carry over work from 2010 and have a very large build plan for 2011. We expect a very strong year. Also, during the quarter, we were awarded a contract to install generators on Wireless sites in over 30 states. While this project is not expected to be a significant contributor to revenues in 2011, it could grow substantially over the next few years. We are seeing significant growth in the Wireless market, led by the deployment of LTE or 4G in carriers networks. We continue to expect this market to be another source of growth for MasTec for the foreseeable future. Now I would like to cover our Utility business. Our Utility revenue grew by 23% over last year's first quarter to roughly $265 million. The growth was driven by our Legacy Transmission and our Pipeline Construction businesses. As expected, our Renewable business was down from prior year's first quarter as many of our 2011 projects are expected to kick off in early summer. As it relates to our Transmission business, revenues were double those of last year's first quarter. Our first quarter revenues were not impacted by our recent EC Source acquisition, given that EC Source represented a minority investment during the quarter. On our last call, we guided to approximately $200 million in Transmission revenues in 2011, with about half of that coming from EC Source. Our EC Source acquisition is now complete, backlog is up sharply in this business since the fourth quarter, and we'll be up again in the second quarter as we add EC Source's backlog into MasTec's existing backlog. EC Source's project with PacifiCorp is on schedule and the outlook and pipeline for our Electrical Transmission business remains very strong. Moving to renewables, we were very encouraged by recent statements made by NextEra, the largest wind developer in the country. In summary, there were 2 important takeaways as it relates to MasTec. First, they stated that the economics of wind, improving mostly as a result of technology and lower turbine prices, are yielding attractive PPA prices, which in turn are creating demand for wind energy and projects. And second, while 2011 was going to be a slower development year for them, they fully expect to build 1,400 to 2,000 megawatts by the end of 2012 and 700 to 1,000 megawatts of wind in 2013 and 2014. As it relates to wind, we still expect a relatively flat year as compared with 2010. With respect to solar, we are currently working on a number of opportunities, which we hope will impact the second half of 2011. Finally, we continue to work with BlueFire Renewables on the cellulosic ethanol facility project they awarded to us. While not currently in backlog, the development continues to make progress relative to their financing. As it relates to pipeline construction activity, our first quarter was very strong. We remain very active on the Ruby Pipeline and our shale activity was stronger than expected. Since year end, we have been awarded $175 million in new projects. 2011 is shaping up to be an excellent year in this business despite a down market for long line Transmission pipelines. We are beginning to see an increased number of large projects for 2012 and beyond. Again, this is another of the markets that afford MasTec great opportunities for future growth. Recently, we also announced our acquisition of Fabcor. Headquartered in Alberta, Canada, Fabcor provides pipeline and facility construction services for the oil and natural gas markets. We see Canada as a natural expansion for us, and we are excited about the opportunities in this market. In summary, we're off to a great start in 2011 and we're very excited about the opportunities ahead of us. We're also experiencing a different dynamic at MasTec. A few years ago, with our publicly stated goal of diversification, we were tasked with selling our vision and our strategy. Today, based on our success and broad areas of expertise, we are getting many calls from customers inquiring about our services and from potential acquisition targets wanting to join the MasTec team. Our strategy, brand and our commitment to working safely with a high level of quality are now much more recognized by our industry that at any point in our history. While we are pleased with the progress we've made over the last few years, we are diligently working on continuing to improve. From the execution of the opportunities ahead of us to our continued focus on margin improvement, we feel MasTec's best days are still ahead of us. I would now like to turn the call over to our CFO, Bob Campbell, for the financial review. Bob?
C. Campbell: Thank you, Jose, and good morning. Today, I'm going to cover 3 areas: first quarter financial results, second quarter and full year earnings guidance and cash flow, liquidity and our capital structure. For the first quarter, we had another terrific quarter for just about anything worth measuring. And it was going away our best first quarter ever. Therefore, I have a pretty long list of Q1 highlights. Q1 EBITDA was up 69% versus Q1 a year ago and it was gratifying again this quarter to grow earnings at a much higher rate than our revenue. In dollars, EBITDA increased to $58 million compared to $34 million a year ago. And that's all organic growth and a first quarter record. Fully diluted earnings per share were up 160% to $0.26, compared with $0.10 in Q1 last year. Q1 revenue was up $168 million or 37% versus last year, and revenue of $618 million was a new first quarter record. All of the revenue growth was organic and very broad-based. Our Wireline business and our Legacy Electrical Transmission business more than doubled versus the prior year. Our shale pipeline work and our long-distance pipeline work were both up nicely. Install to the Home, which is mostly DIRECTV, remain strong, and our telecom Wireline work and our electrical distribution work were both up. Q1 EBITDA margin was 9.3% compared to 7.6% a year ago, and Q1 was our best Q1 margin quarter since 2000. Q1 cash flow from operations was $50 million. Cash grew to $198 million and our liquidity was $269 million at the end of the quarter. And finally, we have raised our 2011 guidance to reflect our current outlook. In summary, Q1 was another great quarter and the outlook for 2011 and beyond continues to be awfully bright. Now for the Q1 details. Q1 revenue of $618 million increased by $168 million or 37% year-over-year for a new Q1 record, and all of the growth was organic. As I mentioned earlier, Wireless and Electrical Transmission more than doubled versus last year. The majority of our Wireless business is with AT&T, and our business with AT&T grew by over 140% in Q1. We have been saying that we're working hard to grow our relatively small Electrical Transmission business organically, and obviously, we're having success, albeit from a small base. Our Transmission business now gets much larger after closing the EC Source acquisition on May 2. As I mentioned, our shale pipeline work grew nicely, and we had a big Q1 with the Ruby Pipeline. A year ago, our Q1 for pipeline was helped by a very large Enbridge project. Install to the Home continues to surprise us with better than forecasted growth. Our Q1 revenue with DIRECTV was up 21%. Our telecom Wireline work and electrical distribution work were both up in Q1. That's the second quarter in a row that telecom Wireline has been up, and the first time in several years that electrical distribution has been up. I'll talk about revenue from our largest customers a little later. We are pretty encouraged by our organic revenue growth trends. Q1 last year was up 39% organically. We were up 36% organically for Q4 and Q1 was up 37%. As Jose mentioned, we believe that the outlook in most of our markets is pretty encouraging. Q1 gross profit margin increased to 14.5% from 13.6% last year, reflecting continued productivity gains, the benefit of greater scale and also a better business mix. Offsetting some of the margin improvement were 2 factors: First, fuel was up almost $0.80 a gallon on 5 million gallons, and that's about a 60 basis point impact; and second, winter weather was worse than expected. Also, we had the negative impact of the 2 issues that we mentioned on the year end call. We mentioned at year end that 2011 margins would be negatively affected by a contractual volume discounts given to AT&T, and by higher commissions paid out in our DIRECTV Sales business. All of these factors hurt Q1 gross margins and also EBITDA margins, and they negatively offset some of our positive lift from higher than expected revenue. Q1 depreciation and amortization expense of $15 million was up slightly from Q1 last year, reflecting modest CapEx and growth in fixed assets. Depreciation and amortization as a percent of revenue dropped from 3.1%, down to 2.4%. Net interest expense for Q1 was $7.9 million compared to $7.4 million last year due to the new phantom or non-cash interest costs associated with our convertible notes exchange. However, as a percent of revenue, interest dropped from 1.6% down to 1.3%. I'll talk about our capital structure a little later. Our G&A expense was $32 million compared to $28 million a year ago. As a percent of revenue, G&A dropped from 6.1% down to 5.3%, and that's our lowest first quarter G&A percentage ever. Our trend line regarding G&A has been good. We have improved almost 300 basis points in G&A compared to Q1 2007. As I mentioned earlier, Q1 EPS of $0.26 was up 160% compared with $0.10 a year ago. Q1 EBITDA was $58 million, which is a $24 million or 69% increase compared to Q1 a year ago. For the first quarter of 2011, the 10 largest customers were: AT&T, 27% of total revenue; DIRECTV, 23% of total revenue; El Paso Corporation, 20%, that's our Ruby Pipeline work; Edison Mission, 3%, that's our wind farm work; Energy Transfer and Talisman Energy were 2%, both our shale pipeline customers; CenturyLink, Progress Energy, Dominion Resources and DCP Midstream each were 1% of total revenue. CenturyLink is a telecom Wireline customer, Progress and Dominion are electrical distribution customers and DCP Midstream is another shale gas pipeline customer. Regarding diversification, our top 10 customers now include: 1 satellite television customer, 2 telecom customers, 4 pipeline customers, 2 electrical distribution customers and 1 wind farm customer. Let me talk for a minute about our revenue mix. We split our revenue into 2 categories: First, we have revenue from one-time, non-recurring construction projects; and then second, we have a very large base of revenue from what we call master service agreements and similar contracts. The revenue from master service agreements and similar contracts is for generally recurring services, which creates recurring revenue. For Q1, 59% of our revenue came from master service agreements or similar contracts, and 41% came from one-time non-recurring construction projects. What we call master service agreements and similar contracts is briefly as follows: Generally, these contracts are for multiple years, often 3 to 5 years, and generally, they are exclusive for a certain geography or territory. Most of these contracts have some kind of price escalation language or some other price adjustment mechanism. Although these contracts do not contain revenue guarantees and they do permit cancellation under certain circumstances, in reality, the revenue from these contracts is pretty predictable, these contracts generally go to full term and they are not canceled and our renewal rate is extremely high. I want to highlight that even though our one-time non-recurring project revenue is growing nicely, we do enjoy a large and stable revenue base from these master service agreements and similar contracts. More disclosure about these contracts is in our 10-Q. At March 31, our backlog was $2.6 billion. That's an 18 month backlog number. The comparable number for Q1 a year ago was $2.1 billion and $2.4 billion last quarter. Not included in our Q1 backlog is the backlog for the 2 acquisitions that we have closed since March 31. That's EC Source, our new Electrical Transmission business; and Fabcor, our Canadian Pipeline business. Although we have not included in our backlog a large ethanol of plant project that one of our customers announced -- I'm sorry, we have not included that backlog because some of the financing is not yet finalized. The size of the project, which is an EPC contract project is approximately $300 million. Please note that well over 50% of our revenue comes from master service agreements or similar contracts, and our backlog does include an estimate of the next 18 months of revenue from those contracts. Now let me talk about our cash flow, liquidity and our balance sheet. Net cash flow provided by operating activities was $50 million in Q1, our cash was $198 million and our March 31 liquidity was $269 million. A year ago, cash flow from operation was $35 million, cash was $103 million and liquidity was $201 million. We define liquidity as unrestricted cash plus availability on our bank revolver. Regarding accounts receivable, our Q1 day sales outstanding, or DSOs, were 58 days as compared to 56 days at year end. The last 2 quarters have been under our current DSO goal of 60 days due to good collections, but also some unusually favorable payment terms. You will likely see, going forward, a little volatility in DSOs due to either the positive or negative impact of big projects with different payment patterns. Regarding capital spending, we spent $15 million in Q1. Our 10-Q has an estimate of $40 million for the full year, which we believe is a good number, including our recent acquisitions. To summarize our cash flow characteristics, I would say this: EBITDA continues to grow nicely. It's up 69% in Q1. DSOs around 60 days remain in good shape. CapEx of about $40 million this year is modest, earnout payments will go down significantly and cash interest of a little less than $30 million is reasonable. Therefore, our cash flow should be strong again this year despite starting to pay normal cash taxes. You will likely see a drop in our cash balance for Q2 and Q3, mostly due to our usual seasonal ramp up of business during the spring and summer. Let me talk for a moment about our capital structure. As a quick capital structure summary, at quarter end, we had $695 million in equity, $414 million of total debt, only $215 million in net debt, that's net of cash and we expect to have $285 million of 2011 EBITDA. Therefore, all of our balance sheet and credit ratios are in very good shape. My overview today of what MasTec has been able to accomplish in recent years is the same as I've mentioned before. We've been able to expand into a number of new markets with excellent growth potential, grow and diversify our customer base, dramatically reduce our DIRECTV concentration percentage, all while improving liquidity and maintaining a solid capital structure. We intend to be aggressive in attracting customers, aggressive in strengthening management and expanding our capabilities, and aggressive in terms of winning in the marketplace. But at the same time, we intend to remain conservative in our pricing of jobs, conservative in acquisition valuations and continue to be conservative in decisions affecting our capital structure. As we noted in our press release, we are raising our full year guidance. We now expect revenue of $2,750,000,000, EBITDA of $285 million and fully diluted EPS of $1.23. 2011 revenue of $2,750,000,000 is an increase of 19% over $2.3 billion for 2010. 2011 EBITDA is an 18% increase and 2011 EPS is up 17%. The revenue increase reflects our current outlook, including for the new acquisitions. Regarding our increased earnings guidance, we have incorporated 3 items that I'd like to share with you. First, we're assuming higher fuel costs; second, we're using a higher full year share count to reflect the impact of our increase in our stock price, which adds diluted shares related to our convertible notes; and third, we have raised our estimate of amortization expense for acquisition-related intangibles up to $18 million to cover the Fabcor acquisition and our latest estimates for EC Source amortization. Revenue and earnings for the EC Source Transmission acquisition were already in our initial 2011 guidance. The tax rate in our 2011 guidance remains at 39%. Now let me cover Q2 guidance. We expect Q2 revenue of about $675 million compared to $495 million last year. That's an increase of 36%. We expect EBITDA of $68 million compared to $46 million last year. That's an increase of 47%. We expect fully diluted EPS of $0.28 compared to $0.18 last year, and that's an increase of 56%. Q2 also reflects the impact of higher fuel costs, share count and amortization expense. Regarding share count for EPS purposes and the non-cash interest expense on our P&L, I suggest that you refer to Footnotes 3 and Footnote 9 in the 10-Q for details to our calculation. Also, for your information, we issued 5.1 million shares for the EC Source Transmission acquisition on May 2, which will be on our share count from that date forward. For your models, I would use about 88.5 million shares for Q2, about 90 million shares for Q3 and Q4, and about 88 million shares for the full year of 2011. Please note that the share count can go up above the levels I just mentioned if our stock price continues to go up. There would then be additional dilution from our $215 million of convertible notes. As an easy rule of thumb, you need to add 300,000 to 400,000 shares for every dollar increase in our stock price. The impact of our recent increase in stock price on our full year guidance is roughly $0.03 a share. That's a negative impact. We are accounting for our converts assuming the principal is paid in cash, but assuming the end of money premium is paid in stock. With our recent convertible note exchange on 94% of our converts, we can now elect to pay the principal and/or the premium in cash or in stock at our sole option. If you struggle with the convertible note EPS accounting or the non-cash phantom interest expense related to the notes, give Marc Lewis, our VP of Investor Relations a call, and he can walk you through the calculations. In summary, we had another terrific quarter in the midst of a soft economy. We are very encouraged by our organic or non-acquisition revenue growth and by our broad-based revenue and EBITDA growth trends. We expect a very strong year, driven by strength in Wireless, Pipeline, Install to the Home or DIRECTV and Electrical Transmission. That concludes my remarks. Now, let me turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] And our first question comes from Mr. Andy Kaplowitz with Barclays Capital.
Andy Kaplowitz - Barclays Capital: Nice quarter. Jose, what's happening in your Install to the Home business? The organic growth there continues to be better than you expect. I know that DIRECTV continues to have net adds that are maybe better than expected, but is that it? Are you actually taking more share? And what are the chances that the growth rate can stay consistently close to what we saw in 1Q?
Jose Mas: A couple of things. I think DIRECTV announced earnings this morning. They actually announced just over 1,050,000 gross subscribers, which I think was a significantly better than the gross subscriber adds a year ago. So that's obviously having some impact on the business. I think -- we said it last year and we said it a couple of times, we were really surprised with DIRECTV's performance in spite of the weakness in the housing industry, right? And if you think about why people change or why people decide to change their video service, a lot of times it has to do with the fact that you're moving, you're going from 1 house to another and that part of the market was really nonexistent for the last couple of years and as that begins to come back, we think that it will have a very positive effect on DIRECTV in particular. So we do think that while we probably guided to that business at the end of the year at single digits, it is performing a little bit better, and I think we'll continue to see that through much of 2011.
Andy Kaplowitz - Barclays Capital: Just shifting gears, Jose, you talked a lot in the past about increasing Transmission presence, increasing pipeline presence internationally. You've done all these things you've talked about. So now as we sit here, are there any parts of the business that you still think you need to add to gain critical mass? Are we there for a while? Is there any new legs that you're thinking about adding?
Jose Mas: I think the last 3 years have been more about really trying to fill in what we call strategic initiatives. So I think this latest transaction for us in Canada was one where we publicly stated that we felt the need to be in Canada we thought it was important strategically and we spent a lot of time and effort trying to find the right fit. I think as you look at the overall organization today and the breadth of services that we're offering, but more importantly, how we fill those, and our presence in those markets today, we're very pleased with. I think what you're going to see from us going forward is really a lot more opportunistic type deals, and it could be anything from increasing self-perform capabilities in the Wireless business to really trying to penetrate new customers and accounts in a number of businesses, and to be quite frank, I think those are -- there's a lot of those opportunities in the markets. So while we're really pleased with where we are in the markets that we serve, at the end of the day, we're only a very small player. And as each overall industry, we may have decent market share. But we're still a small piece of a much bigger pie. So the opportunities out there for us are significant and there's a lot of them.
Operator: Our next question comes from the line of Alex Rygiel with FBR Capital Markets.
Alexander Rygiel - FBR Capital Markets & Co.: Jose, backlog was up 23% year-over-year and 9% sequentially. Very, very strong. Number one, was that all organic? Number two, what remains from Ruby in that backlog? And number three, was Ruby in the prior year quarter of $2.1 billion at the end of 1Q 2010?
Jose Mas: Yes, it was all organic. Two, Ruby was in the number last year. Ruby was in the numbers since the day we brought Precision in Q4 of 2009, and I think that we're very pleased with the backlog increase. Obviously, not just because it's an increase, but because it's an increase despite a lot of revenues coming off on the Ruby job. So Ruby was, obviously, a big part of our backlog. We've been eating into that, and we've been able to replace that backlog as we eat into it. I think one of the most important things to note in today's call is the fact that during the first part of this year, we've actually won more pipeline business than we've actually burned off, and when you consider that we're working on the biggest project in our history in that business, I think that's a very telling sign. So we are very excited about that industry in particular, but more importantly, I think we saw a backlog growth almost across the board, and we had a very good Q1 as it relates to backlog.
Alexander Rygiel - FBR Capital Markets & Co.: To follow up, customer concentration was an issue a couple of years ago and you've done a great job at diversification away from end market customer concentration. But, you still have a number of fairly large customers. Can you address your backlog and what customer concentration looks like in your backlog? Because I suspect it's probably improving as you rollout of the Ruby project and into other shale projects.
Jose Mas: I think what you're seeing, obviously, DIRECTV and AT&T are 2 very large customers for us, they're going to continue to be. We feel very comfortable not only with them as customers, because, I think, if you're going to be concentrated, you want to be concentrated with best in class. But more importantly, I think that our contractual relationship and our strategic relationship with those companies are very solid, which gives us a great sense of comfort. Obviously, backlog, there's a significant portion of both of those accounts in backlog. But what we have seen and what you've seen over the course of the last couple of quarters is you've seen a lot of customer change out. So every quarter, we've got new customers coming in, customers coming out, and I think that is a reflection of the diversity of our business, the different accounts that we're getting and backlog is made up of a lot more than just a handful of customers. So it is a very diversified backlog buildup.
Operator: Our next question comes from the line of Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc.: I guess, I had a couple of questions, but I'll try to roll them up into one because I know Marc is trying to keep us in line and have us only ask 2 questions. So, here goes my attempt [indiscernible]. My first question is could you talk about what's built in your guidance for BlueFire, and if not, how much that could be if it does materialize in the second or third quarter? Number two, what you assume for your solar opportunities in your earnings? And number three, what you've assumed for EC Source and Fabcor in terms of revenues and EPS contribution for this year, and how that amortization really rolls off into 2012?
Jose Mas: Well, Tahira, I think you got a lot more than two questions in today, so good job. I think first, on the BlueFire question, we don't expect it to be a big contributor to revenues in 2011 even if they get their funding and permits in place. It will have a much bigger impact in 2012. That's been our expectation since we issued guidance late last year, and it really hasn't changed. As it relates to Solar, we've got a little bit of Solar business built in to our plan for the backend of the year. Based on the conversations that we've been having with customers for a long time. So really, nothing's changed from what we've got in our models for both BlueFire and Solar relative to where we guided last year, and we feel very good about those numbers that are in there related to those. As it relates to EC Source, we said last year we expected them to contribute about $100 million of our more than $200 million of Transmission revenues for 2011, well on our way to get that and we think that that's a very solid number. For Fabcor, Fabcor, we probably have built into our models. If you think about Fabcor as a $50 million-ish type full year business and when we acquired them and you can kind of back into at least what we've got built into our guidance numbers. And from an amortization perspective, we had very little goodwill on the Fabcor, and a lot of that is being eaten up in 2011. So we'll see if that number come down slightly -- come down sharply in 2012.
Tahira Afzal - KeyBanc Capital Markets Inc.: Got it. And I guess my follow-up to that, Jose, if you look at all the moving parts that generally moved on the positive for you, obviously, you have some costs that are going up like a lot of your peers. But really, if I was to look at your 2011 guidance from the earnings side, versus the revenue side, what would you point out as potentially being the upside drivers that you're being a little more cautious in your guidance to date?
Jose Mas: And I think one of the challenges for MasTec for sure in 2010 was -- there were a lot of doubters that didn't believe that we could hit the backend of our plan because it was so aggressive. And once we delivered on that, we started getting a lot of questions about what happens in 2011 after Ruby. So we've been facing a couple of headwinds, and I think that as we've modeled out 2011, we have tried to model out what we think is a very realistic plan that people can buy into and believe with a lot of credibility. So last year, 59% of our revenues were obtained in Q3 and Q4. This year's plan calls for 53% of revenues in Q3 and Q4, even though historically, our Q3 and Q4 are significantly stronger than our Q1 and Q2. So as we build guidance, and I don't want to say we've been conservative, but we've really tried to put together a plan that we think is very believable, very sellable and one that isn't really going to draw a lot of skeptics or doubters.
Operator: And our next question comes from the line of Veny Aleksandrov with Pritchard Capital Partners.
Veny Aleksandrov - Pritchard Capital Partners, LLC: Great quarter. My question is on the Pipeline business, the Precision acquisition turned out to be a great acquisition, and now you're acquiring Fabcor, which, I think, is probably the best time to do that. Can you give us a little bit more detail, the market position of the company, the pipeline of projects that they have right now in Canada and if possible, some metrics of the acquisition.
Jose Mas: Well, for us, I think it's a very different acquisition than obviously of Precision, just strictly from a size perspective. We played just under $30 million for the business, about $6 million of that was in goodwill, the balance was intangible in that book. It's historically roughly a $50 million a year business. It's got good EBITDA margins. I think we've given a lot of guidance around our pipeline margins. I think it's just slightly less than what you might historically have seen there, but still what we think are very good margins. It's a huge market, it's been a company that really fit our profile perfectly, if you think about the type of companies that MasTec's interested in buying. We're trying to buy companies with good management teams that have great opportunities ahead of them, but really can't fund the working capital requirements to take advantage of the growth opportunities ahead of them. And what we find with businesses like that is with the injection of capital, with the injection of our ability to help them, they tend to grow at a much faster pace. They tend to pick up margins because they're not as worried, they don't have the capital constraints so many times eats into your margin because you end up doing things for the short term. And I think Fabcor fits all of those issues. I think we're going to give them an incredible opportunity to grow that business at a very high rate, and it's exactly what we were looking for there, and there's obviously a lot of the work in Canada, and I think if you follow the industry, it's been highly publicized and we think we're going to be a beneficiary, not just on the pipeline side but on the facility side as well in Canada. So we're very excited about it.
Veny Aleksandrov - Pritchard Capital Partners, LLC: And back to the U.S., I know that's -- will be probably not going to be repeated, but are you pursuing -- can you beat the projects right now or is the backlog just a bunch of small work project?
Jose Mas: Well, we're absolutely pursuing bigger projects. I think we've also been pretty vocal about the fact that 2011 is a slower year for large Transmission line projects in the country. We think that, that market is going to pick up in 2012. We're seeing it in the types of responses that were given on RFPs and proposals. We don't have built in into our guidance, any large Transmission awards for the backend of 2011. And the winds that we're getting and the growth that we're seeing in our pipeline is really being driven by shale activity, which is exactly where we expected to be at the end of 2010 and really where we said we would be.
Operator: Our next question comes from the line of John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co.: Jose, in terms of the big project market, not only pipelines but some of the large Transmission projects, given the longer lead selling cycle on those, when we will -- when do you need to start booking those to really have a big impact on 2012? Is it third quarter or fourth quarter?
Jose Mas: I think you're seeing a different dynamic in the industry today than maybe you saw 2 or 3 years ago especially on the pipeline side. Even on the larger projects, I think you're going to see much shorter times from award to start. I don't think that's atypical of the pipeline industry. I think you saw a lot of that in 2010. There were some very large jobs that bid late in '09 early in '10, they got pretty much substantially completed in 2010. So I think that, that business and depending on the size of the project is much more of a book and burn business, where from the time of award to the time of start of construction, you got -- and again depending on the size of the project, but it could be anywhere from a week to a couple of months. So I think that awards all the way through mid-2012 are going to have an impact in 2012 in that business. And I think there are a number of very large transmission projects that will be awarded late half of 2011 that will have significant impact on 2012 for those companies that win them.
John Rogers - D.A. Davidson & Co.: Okay, and just a follow up on Bob's comment on cash flow, Bob, you gave us the CapEx number of $40 million. With what you've completed now, what's your number for acquisitions?
C. Campbell: You mean year-to-date?
John Rogers - D.A. Davidson & Co.: What you've spend on acquisitions so far.
C. Campbell: It was roughly a little under $30 million on Fabcor, and EC Source was 5.1 million shares.
John Rogers - D.A. Davidson & Co.: So add that to the -- what the 17 that you reported through Q1?
C. Campbell: Right, the 17 is I don't, it's -- okay, all right, I think we gave the number for that on the year end call, both cash paid this year and earned this year and a much smaller number to be paid in '12. If you remember, there's a one-year lag. We tend to pay this year for last year's performance, and conversely, you're paying in '12 for this year's performance.
John Rogers - D.A. Davidson & Co.: Okay. Sure, I was just trying to figure out what the cash flow impact was. Got it.
Jose Mas: And subsequent to the first quarter, we made another small acquisition, roughly just under $4 million, which is filed in our Q.
John Rogers - D.A. Davidson & Co.: Okay. I saw that.
Operator: Our next question comes from the line of Mr. William Bremer with Maxim Group.
William Bremer - Maxim Group LLC: Nice quarter. Can you give me some color on the NASDAQ's side in terms of the pricing and what currently is the marketplace operating at in terms of capacity?
Jose Mas: When we think about that business, we kind of split it into 2. You've got the Longline Transmission business, which obviously, is a business that's slower in 2011 than it was in 2010 from new awards. We've obviously, been very fortunate that we're going to spend a good part of the year on the Ruby Pipeline, which is going to consume a lot of our assets and utilization on that project. And then you got the Shale business, which is completely different. So I'd say that on the Shale business utilization right now is extremely high. And then on the Non-shale business, as an industry in general, it's very low. That's why there's some very large projects that are going to consume a lot of the availability out there that we hope to start sooner than later, and I think some of those projects are now slated to kick off in early 2012.
William Bremer - Maxim Group LLC: Can you give us an idea of the magnitude or a dollar figure of the bidding opportunities that you are going after?
Jose Mas: The numbers are big. They're obviously in -- whether it's $1 billion or $2 billion or north of $2 billion, I think that the market size opportunity and the number of projects that we're seeing in those types of industries, I think you could say the same thing. I think you can say similar numbers for pipeline and similar numbers for transmission.
William Bremer - Maxim Group LLC: Okay. So now let's go into Transmission, EC Source. Can you give us some color on the size of PacifiCorp, what they're going after and have they been buying, or are they still primarily into the larger cranes? What's the CapEx objective there?
Jose Mas: So a couple of things. I think, A, we've been very hesitant in the past and are still going to be in terms of talking about specific opportunities or specific jobs that we're going after. It's a very competitive marketplace, and we think we're in a great position and we're not going to get into particular projects. I think that the size of the industry and the size of the opportunities are well documented across the industry, and it's a very robust market that's getting better and better. And again, we think that we're just seeing the beginning of what's going to be a very big Bull Run in that market. As it relates to CapEx, we haven't really talked about CapEx in particular as it relates to Transmission other than to say that if you look at our guidance for CapEx for the year, you can kind of back into the fact that we expected to do north of $200 million in that business, we could probably do a little bit more without having to do much in CapEx and then obviously, as that business grows and we become more successful then CapEx will grow with it.
Operator: Our next question comes from the line of Noelle Dilts with Stifel, Nicolaus.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Congratulations on a nice quarter. My first question, just looking at your EBITDA guidance for 2011, it looks like now you're looking at about a 10.4% EBITDA margin. Which is at the lower end of your range you were looking for before. And it sounds like that's related to fuel. So my question is really looking at your business, where -- is there an ability to pass through some of these fuel costs, and where do you get a little bit stuck behind and see more of a drag there? Just a little bit of insight into if you think some of those costs are recoverable through pricing.
Jose Mas: So a couple of years ago, we had the opportunity to really sit down with our customers and negotiate some fuel surcharges based on the fact that fuel had gone so up -- up so much a couple of years back. We didn't have that dynamic in 2010. We're having it again in 2011 with one of our customers. We've actually concluded that negotiation and that took effect in April, so we've already begun that and we think that we're going to have opportunities to do that. What we don't know and what we maybe been a little bit more cautious about building into our model is we don't know where fuel prices are going. So we've assumed that they're going to continue to increase, so we'll obviously, offset some of that with what we feel we can get from customers. But we still think there's going to be an increase to where fuel will be in 2011 versus where it will be in -- or versus where it was in 2010.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay, great. And then switching gears just a little bit more of an update on the renewable side, can you tell us how many megawatts you have in your backlog right now and kind of an update on the solar projects that you have in your backlog?
Jose Mas: It hasn't really changed since the fourth quarter. We had 1 project where a developer -- where an owner was switching out of developer that we had won that where we're recompeting right now. It's been an active market, but it's quite frankly, going to be a much active market in the second half of the year. Again, referring back to NextEra's comments, I think we're hearing that from -- I think they publicly said, which is why we quoted them but we're hearing that from a lot of our customers right now and that there seems to be a pickup in the demand for wind and wind projects because of what's happening with PPA pricing, and the fact that as NextEra also said on their call, they're out there telling people this is the best market that there's ever been in terms of securing wind prices and we think that that's really selling, and we're seeing a lift from that and we think we're going to see that lift in the backend of the year. But as it relates to where we stand today, it's roughly where we were at the end of the year, and we still feel very comfortable in being able to say that we expect that business to be flattish year-over-year based on the backlog that we're sitting on. From a solar perspective, we have been awarded certain projects that we have not included in backlog. For the same reason. We didn't include BlueFire on some of these projects. We think they're a little bit more speculative, so as financing comes together we push them to the backlog. We think those will probably hit before BlueFire does, and hopefully, we'll be able to talk about them in our next call.
Operator: Our next question comes from the line of Adam Thalhimer with BB&T Capital Markets.
Adam Thalhimer - BB&T Capital Markets: You guys have done [ph] a good job on pipeline project awards in the first quarter. And my question is that $175 million, what's the timing of revenue recognition for those?
Jose Mas: The majority will all be in 2011.
Operator: Our next question comes from the line of Liam Burke with Janney Capital Markets.
Liam Burke - Janney Montgomery Scott LLC: Jose, the first quarter, you had fabulous operating leverage on organic growth. Your guidance, as discussed in the earlier question, sort of flattens out to the second half of the year. And your guidance reflects sort of a flattish type leverage for the full year. You had rising fuel costs in the first quarter, and you're still able to get better margins. Is it fuel entirely affecting the second half of the year?
Jose Mas: Well, no. I mean I think it's the same -- really the same issues we talked about at the end of last year, right? We've still got a couple of headwinds facing us. One, being some of the Wireless discounts that we gave at the beginning of the year. The other being the increased commission payments on our DIRECTV Sales business. Both of those are going to impact our year-over-year comps. There's no question that obviously, the strength of Ruby in the first half of this year is helping. And the strength of Ruby in the back end of last year will create tougher comps. And all we're trying to do is -- so we're not facing the same questions that we faced last year in terms of trying to meet what people perceived to be a very aggressive backend of the year plan is putting together, a backend of the year plan that we think is very believable and gives us a lot of credibility. So at the end of the day, our goal, and we continue to strive to do better than the projections that we put out there. But those are our projections today and it's roughly an 11% EBITDA margin for the backend of the year. We think that's solid. If we compare it to really our peers, we think we're doing really well from a margin perspective, and we think that's what the market is affording us.
Liam Burke - Janney Montgomery Scott LLC: Real quick on Wireline. You seem to have nice backlog even though the stimulus is rolling off. Is there anything else driving the demand for Wireline?
Jose Mas: We've got the -- the Distribution business was up slightly. I think Bob mentioned it in his remarks. The Wireline business is probably up slightly, net of stimulus but what's going to drive that business to growth and -- what we said distribution grew like 2%, so it's really flattish. So what we're seeing in terms of growth on the Wireline side is more driven by Broadband stimulus. We're excited about it, we think it's going to continue. A lot of projects are still being RFP-ed. We think that's going to continue for the rest of the year. So I just think that's a longer-term opportunity that's going to have a multiple year impact. It's really going to give that business the ability to show some nice growth over the next couple of years.
Operator: It appears there are no further questions in the queue at this time. I'd now like to turn the conference back over to Jose for any additional or closing remarks.
Jose Mas: So again, I would like to thank everybody for participating, for your interest and your support, and we look forward to our second quarter call. Thank you. Have a great day.
Operator: This does conclude today's conference. We thank you for your participation.